Amanda Taselaar: Hello, everyone. Welcome to the Kahoot! Group earnings webcast for the second quarter of 2022. I'm Amanda Taselaar from Kahoot!, and I will be your moderator today. We are excited to be here with you to give you updates on our progress here at Kahoot!. We will start by giving you an introduction, and then we will proceed to discuss Kahoot!'s financial and operational highlights from Q2. At the end of our presentation, we will take some questions from the chat. So please feel free to share your questions in the chat as we move through. Today, we have with us here Eilert Hanoa, CEO of Kahoot!; and Ken Ostreng, CFO of Kahoot!.  I will now pass it off to Eilert to get us started. Over to you, Eilert.
Eilert Hanoa: Thank you, Amanda, and good morning and good afternoon, everyone. And thank you very much for taking part in this second quarter presentation and the Q&A today. And we appreciate, and we, of course, look forward to present and taking you through our quarterly presentation and share some of the highlights.  First off, it's no doubt that Kahoot! is a very purpose-driven company. And that is, of course, very important for us, both to make learning awesome and that we want to really make sure that we are building great learning tools that can really make a difference across the globe for all kinds of users, whether it's used for free or commercial and premium plans around the world.  Our purpose is our guiding star, both internally within our global team as externally as well, whether it's building new great services or features or working together with our stakeholders and also our partners in our ecosystem to really make sure we are maximizing the potential. And driven by our values and our purpose, we are on a mission to really improve lifelong learning by building the leading learning and engagement platform in the world.  Starting today, it's great to announce that we, during the second quarter, reached 8 billion non-unique cumulative participants since launch in '13. And of course, it's an important milestone and it's a great number representing similar to the total population of the world, but also it's a great showcase for us.  Maybe more important and also truly a statement to the product and the great initiative that was done by the founding team and how this product and the services around Kahoot! has been evolved and also from an innovation perspective, being able to capture new groups of users every year, new generations of users in schools every school year and also spreading out to corporations to all kinds of social and personal use for all the different use cases that is today represented in the Kahoot! ecosystem.  So the learning and engagement offerings and through the consistent innovation on our product design and development is really also the true DNA of Kahoot!. And also, the fact that Kahoot! has been part of so many people's lives and learning, both in class, at home and at work, is also showing and building to the strength of the brand across different verticals and geos.  We also think that we have some very strong proof points for our viral model. And of course, this is fueling our growth as well, both for the new users but also for returning users on the platform. And there is no doubt there is a lot of opportunities to continue to build on this momentum around the Kahoot! brand as well.  Taking one step back and looking at where we're coming from, the origin of the company where truly it was all about finding a way to engage the learner. And the initial Kahoot! launch of a simple quiz that was free for everyone to use through the different phases, through the commercial launch we started in '18. And as a side note, the first half year of 2018, we had a total revenue of $700,000. And this first half of $70 million, we have increased that 100 times.  But it also shows that we, together with the commercial launch, we're able to keep the DNA and keep the momentum from the original free services and have evolved that in the same way as we have evolved and developed the premium services. And going forward, of course, the scalable platform is a true component and may be a very important component in how we can continue to build both services but also scale the company in the future.  And last couple of years, we've been completing both strategic acquisitions to build out a leading platform with wider offerings as bolt-on services that are helping us getting more value to -- in the hands of all our users whether you are hosting or a learner and also adding, of course, Clever, which is also an additional platform that can further step up our commercial and financial gain and giving us a very important footprint to the schools in the U.S., particularly with its international expansion going forward.  So the journey from quiz to commercial to scale is very much the foundation and the backdrop for where we are today. And going forward, the way we can work with all the great, fine assets we have in the company, which is very much about reaching each of the segments in addition to Clever as a distribution platform for schools in the U.S.  We also have, which is the key to our scalability, the core Kahoot! platform, which is giving us the opportunity to build services that can be used at work that can be used in schools and of course, at home, that we have the same ways to manage to scale, to build, to host, to support and serve across the different deliveries from the platform, in addition to the opportunities to work together with the Clever digital classroom experience and see the synergies between Clever and Kahoot! going forward.  And this common ground is really what supports our businesses that we have a strong brand of Kahoot! across all these segments, that we have one engaging platform where all our investments of R&D are able to be reused and distributed to the different segments and also that this platform is built to cater to our partners' needs whether it's white labeling of the services, integration with other solutions like Google Meet, Classroom, Facetime or Microsoft Teams and Zoom or, of course, the opportunities we have to build a solid back office for further transactions whether it's content or additional services regardless of the segment.  So the sum of having a set of different offerings based on the same platform for the different segments is truly to the core of the scalability of Kahoot! as a company. Our strategic growth levers, which is really what we are focusing on when it comes to how we can continue to build out our initiatives and also from a company perspective, the strategy, of course, the most important is that we have engaging products, which is, of course, the key to any way to have success over time.  And with the continuous investment in better user experience and engagement, this is also the foundation for the monetization. The way we are able to make sure that Kahoot! can continue to grow with a very strong brand is also that we are not dependent on external resources or partners to continue to communicate and build the ecosystem on the Kahoot! platform. And that's, of course, is a very important part in order how we can scale, both financially but also from a product and value proposition going forward.  Thirdly, our strong scalable platform with hundreds of millions of users already on the platform throughout the year and global partner brands and users and partner-generated content with low cost and our very scalable model is a key as just outlined on the business side for further growth.  And last but not least, this platform is the basis for how we can also share investments and scalability across the different segments. And that makes the potential for the profitable growth.  So let's switch gears to the second quarter. We are very pleased to share our results for this quarter, which was another solid quarter for the company. We delivered our growth, both in billing and adjusted EBITDA, growing our operational cash flow. And we saw continued commercial improvements across the different main business areas that we are investing in.  We delivered on our ambition to exceed $36 million for the quarter with over $37 million, which is over 80% year-on-year growth. And if you look at the first half, the Kahoot! platform, which represents approximately 50% of revenue, delivered around 30% year-on-year organic growth, which is a strong delivery combined with also Clever delivering over 30% pro forma growth year-on-year in the same period.  And in the second quarter, our adjusted EBITDA grew approximately 65% year-on-year, being $6.9 million in total. Our paid subscription grew 30% year-on-year as well with a net increase of 40,000 from the previous quarter, of which 25,000 homes from the core Kahoot! platform. And paid subscriptions for at work grew approximately 30% year-on-year and school around upper 30% -- 39% year-on-year as well. With the dollar retention of our top key enterprise and top 50 -- sorry, top 50 key enterprise and top 50 school district accounts, it's also continuing on the 25% -- 125% net retention, which, of course, is similar to what we presented out on the Investor Day.  Let's have a brief look at what's behind these top-level numbers. Clearly, the first half of '22 has been quite turbulent for many aspects, both when it comes to the market conditions, political, financial. And some of these effects have impacted both the market, our customers and the society in general whether it's the pandemic or global -- and global lockdowns in addition to uncertainty as such.  But still, we see that the demand across our business areas have remained high in the second quarter. And June was one of the strongest months for us from an activity level and the strongest sales month to date. And we've seen that momentum also carrying into the next quarter to the third quarter.  And even though the second quarter from a seasonality perspective is not our strongest, we have still seen a good add of more quarterly paid subscribers than what we had a year ago on net acquisition on a quarter basis. So during the quarter, we recorded a solid growth in the quarter of larger deals, including the largest deal ever in the Work segment, which, of course, also gives us a good understanding of the feedback and the rhythm of business from our customers and our focus when it comes to developing new services to cater to those customers going forward.  And of course, I'm very pleased to see that Clever under -- or being a part of Kahoot! is continuing to deliver strong growth and also being prepared for the back-to-school season. Also signing a great new partner that we did now in the beginning of -- or in the middle of July, which is very important for us, showing that we are able to both bring in new important partners for us on the content side and also the attractiveness of the Clever platform for distribution to 95,000 -- sorry, 93,000 schools across the U.S. on the -- that are connected to the Clever platform.  And there is no doubt that for us to continue to invest in a better service, a better product, we have no illusions that what -- about what we had yesterday is good enough tomorrow. And we will continue to do that across all products and services whether it's free services or the paid ones in order to make sure that all customers and users are seeing the improvements in any cycle in our deliveries.  That, combined with our partners and how we are able to develop our collaboration with our long-standing partners like Apple, Google, Microsoft and Zoom from our communication and distribution perspective, in addition to, of course, the publishing partners when it comes to content, it's also giving us a great platform for further growth and also opportunities on the commercial side going forward.  So let's look at some of the new and existing customers we were able to sign in the second quarter. And as you can see, we had a good lineup in the second quarter, both in existing customers renewing and extending their business with us but also adding new great partners and customers on the logo wall.  And of course, as we then -- as mentioned, we saw a larger number of larger deals and also our largest deal to date, which gives us confidence in that we still have a lot of untapped potential across all the different business segments but also with the core Kahoot! 360, with Actimo and with Motimate for these customers going forward. And there is no doubt that the feedback from customers with focus on making sure that digital learning platforms for all kinds of employee engagement, for learning and development of employees and customers and to ensure an efficient way to distribute communication internally is really on top of the agenda for the customers we are engaging with.  And this, combined with our viral business model where inbound leads as the major rule that we have the ability to continue to work with our customers to upsell and truly make this a solid platform for further expansion is really the core to the Kahoot! at Work and for that matter, also the larger schools and school districts on the Kahoot! side of the fence going forward.  So before we go into the Q2 numbers, I just wanted to reiterate our key priorities for this year. I've outlined a goal of invoiced revenue of $190 million and cash flow from operations were approximately $55 million. And we are concentrating our offers into these priorities for the year of '22.  And of course, we are seeing really good traction in the commercial initiatives we're doing, but we can do much more. And we will continue to invest both in the business models and the customer journeys and the opportunities to distribute through partners.  We will continue to invest in our products and design, both when it comes to the usability but also the way to easier be able to upgrade from free-to-pay or pay-to-pay more across all our products and services in the different segments. And we will make sure that we are able to launch new products and services on top of the current platform that will give us some additional ways to reach new interesting customers and segments for us.  The synergies is undoubtedly an opportunity that we will continue to harvest from. We have seen that into the cost increase this year that we already are able to deliver on the way we structure across the organization. And of course, combining that with our upcoming marketplace and the opportunities we have there, together with our partners and the millions of teachers on the platform, is truly amazing.  So combining all the different initiatives, the momentum, the brand and the activity we have on the platform, I think we have a very good way to not only prioritize our own project but make those projects come to life in the market.  And with that, I would like to hand over to Kahoot!'s CFO, Ken, to take us through the details of our second quarter.
Ken Ostreng: Thanks, Eilert, and good afternoon, everyone. I'm very pleased to take you through a solid second quarter of 2022. We are on plan for the year with our performance in the second quarter. And as you'll see across our commercial metrics and growth KPIs, we have robust developments.  We had all-time high revenue in the second quarter of $36.1 million. That's up 96% year-on-year and deriving from Kahoot!'s recurring revenue business model and the recurring revenue increased to more than $142 million by the end of the second quarter. Another of our key indicators is invoiced revenue or billings, which reached $37.2 million in the second quarter, up 81% year-on-year, slightly higher than our guidance for the quarter.  Looking at invoiced revenue, excluding Clever in the second quarter, we came in at $24.2 million. That's up 18% year-on-year. That scalability in the Kahoot! business model is visualized by the positive development on adjusted EBITDA with continued year-on-year increase, up 65% from the second quarter last year.  The underlying operational cost base for the total Kahoot! Group had a modest increase of approx $0.5 million quarter-on-quarter from the first quarter this year. And we expect the operational cost base to have a continued modest quarter-on-quarter increase throughout the year.  Another topic of scalability, our operational cost base includes infrastructure costs for both free and paid users. So the cost for converting free to paid users is marginal. As part of our strategic priorities, we focus a large part of our resources in R&D and product, which is seen by more than half our FTE base being dedicated to product and engineering, continually improving Kahoot!'s products and user experience. And this is included in our fully loaded operating cost base.  On the next slide, we'll see that the growth in paid subscriptions continued and reached more than 1.2 million across all services in the second quarter, up 30% year-on-year. The organic increase in paid subscriptions in the quarter was 40,000, whereof 25,000 on the core Kahoot! platform. And for the end of the second quarter, we reached 530,000 paid subscriptions within the work category and 410,000 within the school category.  Cash flow from our underlying operations was $5.2 million in the quarter. Our CapEx is marginal and not eating our operational cash flow. And we now have 11 consecutive quarters of positive cash flow from operations. And we have a solid cash position and no interest-bearing debt.  We saw continued strong usage on the Kahoot! platform post-pandemic with 53% year-on-year growth on the work category and a total of 28 million active accounts last 12 months, including school and personal users.  On the next slide, we have continued strong year-on-year growth in both revenues and adjusted EBITDA. In the second quarter, we had all-time high for both recognized revenue and adjusted EBITDA and achieved 21% growth in adjusted EBITDA from the first quarter this year.  The development outlined on the previous slide is further visualized when we look at the strong development in number of paid subscriptions over the past 3 years. Out of the year-on-year increase in paid subscriptions from 930,000 to 1.2 million, the core Kahoot! platform accounted for more than 170,000 of the year-on-year growth. And that was fueled by organic inbound traffic and automated [indiscernible] sales.  From the first half year, invoiced revenue development compared to previous years, we see that U.S. and Canada represented 60% of invoiced revenue in the first half year this year, and we expect it to continue to be our biggest revenue region. The continued growth in number of paid subscriptions on core Kahoot! platform is visualized by the increased conversion ratio of free-to-paid users with marginal customer acquisition costs.  For the professional users,defined as the work and school category, we have over the past 3 years more than tripled the conversion ratio while the active users, which is the basis for conversion in the same period, has increased by 75%. The rolling operating run rate visualizes the scalability of the Kahoot! operating model based on operating model leverage with a modest quarter-on-quarter growth on the operational cost base through low customer acquisition costs by conversion of existing free users to paid subscribers and scalable platform supplying all customer categories globally with infrastructure costs for both free and paid users included in the current cost base and a capital-light business model with minimal CapEx required to support the scale of the operations.  So moving on to the full year 2022 outlook. The Kahoot! Group reiterates the ambition of $190 million in invoiced revenues for 2022. We recognized revenue of $155 million and adjusted cash flow from operations of approximately 35% of recognized revenue.  For the third quarter, invoiced revenue is expected to exceed $54 million, representing approx 94% year-on-year growth with solid cash flow from operations. We remain committed to our financial ambitions. And we do this based on normal seasonality between the quarters that we've seen the last year, now also including Clever, of course, with the main driver being the back-to-school season for Kahoot! and for Clever in the second half of the year.  Moving on to our long-term ambition, which is to exceed $500 million in invoiced revenue in 2025, representing approx 40% annual invoiced revenue growth whereof approximately 1/3 from Kahoot! at Work, 1/3 from Kahoot! at School including Clever and 1/3 from Kahoot! at Home and Study, including Academy and Marketplace. The operational cost base in some of the period expected to be converted to approx 60% of invoiced revenue, which indicates approx 40% cash conversion of invoiced revenue. The financial ambitions outlined, they do not depend on any material acquisitions in that period.  And by that, I'll hand over back to Eilert.
Eilert Hanoa: Thank you, Ken. I'm very excited about our long-term opportunities here and also what we want to and can achieve as a company. And there is no doubt that we believe we have a solid plan to reach our long-term goals and also that we have both the resources, the experience and the ability to execute on our plans going forward.  So across our five business areas, the 3 main revenue segments, we have a solid mission and a good plan to succeed. And in the coming years and beyond, we are confident that this strong growth will continue and also that we will continue to show a solid cash flow from operations because that's, of course, a very solid sign on the scalability and the value of the business model.  And the most important for us from a commercial perspective and financial perspective is that we have several ways to reach our goals on this, both when it comes to the different growth tractions that we have a common platform, that we are represented in growing market opportunities, TAMs, and that we have proven the scalability of both the platform, the business model and the opportunities that resides together with our partner ecosystem. And lastly, we have a strong road map and a good visibility in all of our business areas going forward.  So ending today's presentation, I just want to summarize with some of the fundamentals of attributes from the Kahoot! Group. We have a global recognized brand, which is very strong, both in the educational segment but also across business tools and personal and consumer segments. We have a scalable cloud platform, which has proven both through the last couple of years but also as a viral business model support, which is, of course, is very important these days.  We have an experienced organization with track record, both from code from the software industry and from also supporting industries. And we have a clear path to profitable growth going forward as we are continuing to invest and continue to build because continuously improving all our services for all segments and all user groups in all cycles is also at the core of what we're doing. And solid funding, obviously, gives us an opportunity to also invest in strategic partnerships and nonorganic growth opportunities going forward.  So with that, I thank you very much for your attention during this presentation, and I hand it back to Amanda for the Q&A session.
Operator:
A - Amanda Taselaar: Thank you, Eilert, and thank you, Ken. We are now ready to move to the Q&A for the final section of our presentation. We have received many questions in the chat, and we will start with the following question from Henriette Trondsen from Arctic Securities.  Congrats with strong results. While your Q3 guidance looks fair, the Q4 guidance implies accelerated growth in Q4. Can you give any comment on how to reach your Q4 target?
Eilert Hanoa: Thank you. I maybe start, and Ken, you can add in here. So our guidance and also our full year ambition is based on the good momentum we've seen in the first half this year and also into the summer. It's also based on that we have the second half as the high season for all our business as we have had last year.  And in the second half, we expect the growth across all business segments, and of course, existing products and services, but also with new products and opportunities that we are launching, of course, including initiatives like Marketplace. And we are continuously not only refining the current business model but also launching new ways of expanding our commercial opportunities, which we think haven't been maximized so far.  As I mentioned initially, we started our commercial journey in 2018. And we're still building up both the momentum, the awareness among our users, the business models in itself, the customer journeys and the way we can maximize the potential in any -- every of the segments. With over -- around 98% of the users on the Kahoot! platform using Kahoot! for free, there is still a lot of conversion and opportunities to go, both when it comes to free users but also on existing pay users.  And we have the opportunity to continue to do both sales and distributions together with existing and new partners to further expand and accelerate our reach in the coming quarters and years.
Amanda Taselaar: Thank you, Eilert. The next question is from Lars Devold from Kepler Cheuvreux. You are seeing increased sales activity and paid user conversion. Is this reflecting mainly high or low touch sales activity? And should we expect bonus payments to salespeople that are triggered in future periods?
Eilert Hanoa: So from a sales perspective, we see both the key account side of the business but also the automated sales continue to grow. So that's the good, balanced mix for us there. Of course, salaries and bonuses are included in the current operation we have when it comes to the cost base. And that, of course, is also reflected in how we model our cost base and cost structure going forward, including our long-term forecast for 25.
Amanda Taselaar: Thank you, Eilert. The next question is also from Lars Devold from Kepler Cheuvreux. Can you give some color on the market entry into Canada? How far are you into the process, and are schools already signed up? And when can we expect the first material revenue contributions to come?
Eilert Hanoa: It's, of course, an early phase for Clever, but the first schools and school boards, as they're called in Canada, not school districts as in U.S., have been onboarded. We're still working on making sure that we get the meaningful number of schools and teachers up and running in this back-to-school season. And we look forward to share more details about that in the Q3 presentation.
Amanda Taselaar: Great. Thank you. This next question has been mentioned a few times by several attendees in the Q&A chat. Do you see the slowdown in usage metrics affecting your viral growth?
Eilert Hanoa: Yes. So as mentioned, 98% of our users are free users. And of course, that's an important part of the DNA of Kahoot! with free forever for teacher, students and individuals as one of our mantras. And there is no doubt that during the pandemic, we had an extra boost in free social users and usage across all segments around the world that gave us a very good usage boost in 2021.  And of course, that is a very important part of the step-up we've been able to build on both when it comes to the capacity on our systems, seeing the scalability, translating our services, getting new key customers around the world. But it also, of course, gives the compare on pure usage on '21 versus '22 a different light.  So if we compare with the usage run rate in 2020 versus '22, even though we have the outlier of '21, we see that we still have a good momentum after the pandemic, meaning first half '22 compared to before the pandemic, although we, of course, had an even higher spike in the second quarter of '21. So with the momentum we see on sign-ups, on the usage, on accounts, on conversion, we believe that we have a solid business even though the number of free users and activities is slightly down versus the spike of '21.  So all in all, we are very satisfied with the momentum and the consistency of usage and also, of course, reminding everyone that Kahoot!'s success was created before the pandemic with a physical audience, with a group of players in the same room truly making engagement around a learning situation, although we have expanded that to include remote learning, including digital training whether you use Zoom, asynchronous training, single player during the last 2 years and, of course, accelerated also with the pandemic.  So all in all, we are quite satisfied with the momentum we see. And also we believe that there's a lot of growth opportunities from the current level.
Amanda Taselaar: Awesome. Thank you, Eilert. This next question has also been mentioned a few times by several attendees in the chat. What are your expectations regarding the Marketplace going forward?
Eilert Hanoa: Yes. So Marketplace is, of course, an important part of how we continue to expand the business models on the platform because it's the first time we can offer to the millions of teachers, and for that matter, for any other domain expertise -- with a domain expertise, a publisher or another partner to create content that they can both protect, package, distribute and sell on the Kahoot! platform.  That is one of the most requested features from all our partners for the last couple of years. We've been building out the infrastructure to make this possible. We've done piloting during the first half. And we will have the next launch or next phase of the launch now for back-to-school.  And we will open for teachers and others to create great collections that they can offer, both for free, of course, but also for pay on the Kahoot! platform under the Marketplace umbrella. So we do expect that to be a very important driver, both when it comes to the engagement on the platform, the use cases of the platform, the ability to combine this with a white labeling of the solution so you can have a fully blended, branded solution for any premium brand and, of course, also eventually to build up our revenue stream as we have outlined for the 25 ambition, where that should be able to represent approximately 20% of the total revenue by that.  We haven't given any specific guidelines of the breakout of Marketplace in the short term. But we will revert to that in coming quarterly presentations.
Amanda Taselaar: Thank you for that information about the Marketplace. This next question is from Petter Kongslie from Sparebank 1 Markets. And it's in regards to the importance of the back-to-school season in the second half of 2022.  How good is the visibility when you are standing here today? When are customers starting to purchase for the back-to-school season? Is it around September or something else?
Eilert Hanoa: Yes, that's a great question. And of course or I think the purchasing pattern for schools or educational institutions around the world is, of course, following everything from the local school year, which is obviously different in Australia than it is in the Northern Hemisphere. The difference between individual teachers that can, of course, buy any time around the world -- sorry, around the year, schools and school district that some of them will prepare in due course. Others will basically initiate their order at the start of the school year. So we basically see a lot of activity around the year, but with a big spike in the last part of the year, meaning from mid-August and for the rest of the year until mid-December.
Amanda Taselaar: Great. Thank you. The next question is from Karin So from JPMorgan. As you launch more products and segments such as Marketplace, how are you thinking about your financial disclosure going forward? And are you considering to disclose more details on a segment level?
Eilert Hanoa: Yes. So I mean it's definitely a continuous opportunity for us to refine the way we are disclosing the different tracks of our business as they are either growing, being consolidated or taking on different shapes from an importance perspective. So we continuously will consider that.  And for 2023, we will, of course, review how we will slice the revenue streams and the opportunities we have going forward based on the business as it looks by the end of this year.
Amanda Taselaar: Great. Thank you, Eilert. So we know we haven't gotten to everyone's questions today, but we have time for one last question.  Eilert, looking at next year, how do you see the financial scalability of Kahoot!?
Eilert Hanoa: Yes. So going forward, first of all, I think and truly believe that we will be able to continue to show the current scalability of the company and the platform, both as we have done in the first half this year and also the second half this year. Coming into the third quarter, which was outlined by Ken with modest cost increase quarter-on-quarter but with a strong ambition of reaching $54-plus million in billings for the quarter, that will become very visualized.  And important elements here to recognize is that the platform of both Kahoot! and Clever are scalable from the cost versus additional revenue. The 98% of users on the Kahoot! platform is, of course, already costed in our quarterly numbers.  The CapEx in the company is marginal. All costs are flushed every quarter when it comes to the development as half of the company is focused on creating great new services for our users, both existing paying and free users, again, of course, to also make new premium services more affordable and available for all.  And we have an organization which is, to some extent, young but now over 500 employees in total, including our contractors, which means that the massive power we have in the total organization's ability to deliver with more experience, with a more outlined and refined road map and with another year of experience since last year gives us a true confidence in that we can deliver so much more with the current cost base that you see fully loaded for the last 3 quarters.
Amanda Taselaar: Eilert, thank you so much for that insight into the future of Kahoot!. We thank everyone for joining us today, and we appreciate all of your questions. If we did not get to your question today, please reach out to us, and we hope to see you again soon. Thank you.